Operator: Good morning, and welcome to the WESCO First Quarter 2012 Earnings Conference Call. All participants will be in a listen-only mode. (Operator Instructions) After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions) Please note this event is being recorded. I would now like to turn the conference over to Dan Brailer, Vice President of Investor Relations and Corporate Affairs. Please go ahead.
Daniel A. Brailer : Good morning, ladies and gentlemen. Thank you for joining us for WESCO International’s conference call to review our first quarter financial results. Participating in the earnings conference call this morning are the following officers: Mr. John Engel, Chairman, President and Chief Executive Officer; and Mr. Steve Van Oss, Senior Vice President and Interim Chief Financial Officer and Chief Operating Officer. Means to access this conference call via webcast was disclosed in the press release was posted on our corporate website. Replay to this conference call will be archived and available for seven days. A supplemental financial presentation has been produced, which provides a summary of certain financial and end market information to be reviewed in today’s commentary by management. We have filed the supplemental presentation with the Securities and Exchange Commission and posted it on our corporate website. This conference call may include forward-looking statements and therefore, actual results may differ materially from expectations. For additional information on WESCO International, please refer to the company’s SEC filings, including the risk factors described therein. The following presentation may also include a discussion of certain non-GAAP financial measures. Information required by Regulation G with respect to such non-GAAP financial measures can be obtained via WESCO’s website at www.wesco.com. I would now like to turn the conference call over to John Engel.
John Engel: Thank you, Dan and good morning everyone. Pleasure to be with you this morning. We are off to a good start in 2012. Our first quarter results reflect a continued execution of our one WESCO growth strategy. We have now posted selling consecutive quarters of double-digits sales growth and six consecutive quarters of EPS growth of well over 25% on a year-over-year basis. In the first quarter we generated good momentum in all of our end markets. Organic sales to customers were up double-digits in industrial and utility, and we are up mid-single digits in construction and CIG. In addition, with the exception of Data communication sales which were down mid-single digits, sales for our other five major product categories increased in the quarter. Backlog also grew and was up 5% versus last year and up 7% versus year end 2011. Notably, we closed out the quarter with very strong results in March where we delivered the highest sales per workday for any month in our history. So far in April sales are up mid-single digits. Consistent execution of our LEAN and margin improvement initiative continues and have translated in the strong financial results. Operating margins of 5.2%, net income of $53 million and EPS of $1.03 in the first quarter were up 70 basis points, 42% and 39% respectively versus prior year. The growth in net income was well above the high end of our 20% to 25% range which we communicated in our investor day in August of last year. In addition, free cash flow generation was strong in the quarter and exceeded net income. Our investments are clearly paying off. Effective execution of our growth strategy continues and we are pleased with our business results to start the year. In January, we completed the acquisition of RS Electronics, our fifth acquisition since mid-2010. These five acquired companies had annualized sales of approximately $460 million as of their respective closing dates. With liquidity increasing to over $570 million and financial leverage dropping to 2.1 at the end of first quarter, we have the capacity and financial flexibility to continue to fund our strategy of above market organic growth plus secretive acquisitions. Our acquisition pipeline remains robust and we see excellent opportunities for acquisitions to further expand and strengthen our portfolio. In summary, we are operating in 2012 with a stronger and more diverse business. Stronger and more diverse in terms of customers and end markets, products and suppliers and geographies. Our long term outlook remains unchanged. We expect the economy to recover slowly over the next several years. We expect the industrial and utility end markets to continue to grow and construction and Data communications to improve in the second half of 2012. We are continuing to invest in our growth engine and our six operational excellence initiatives. We have generated strong momentum across our company over the last few years and are focused on executing our one WESCO growth strategy, which provides customers with a leading supply chain solutions they need that meet their global MRO, OEM and capital project requirements. Now, Steve Van Oss will provide details on our first quarter results as well as our outlook for the second quarter. Steve?
Steve Van Oss : Thank you, John and good morning to everyone. Our first quarter results reflect a positive impact of our sales and marketing initiatives combined with good operating discipline. We expect 2012 to be another solid year for WESCO. I will review the quarter results in context for the first quarter guidance we provided on January 26 as part of our fourth quarter earnings release. In our guidance we said, we’d expected organic sales to grow 6% to 9% with acquired sales to add approximately 2% to sales growth. Our first quarter sales increased 12.2% compared to last year including a 2.6% positive impact from acquisitions. This is our seventh consecutive quarter of double-digit year-over-year sales growth while also increasing backlog. In addition to the impact from acquisitions, we had one additional workday in the first quarter which positively impacted sales by 1.6% while foreign exchange negatively impacted sales by 0.2%. Therefore, our normalized organic year-over-year sales growth rate for the quarter was 8.2%. Year-over-year price increases for the quarter had an estimated positive impact of approximately 1.5%. Sales per workday increased sequentially throughout the quarter and we were pleased to see strong sales in March as it set an all-time record for sales per workday for any month. The growth from acquisitions came from three companies acquired over the past 12 months. RECO, with annual sales of approximately $25 million was acquired on March 15, 2011, and Brews Supply, with annual sales of approximately $50 million was acquired on October 3, 2011. RS Electronics with annualized sales of approximately $60 million was acquired on January 3 of this year. TVC Communications which was acquired in December 2010 is now reported as part of comparable sales. Sequential sales for the first quarter increased approximately 1% and were down approximately 0.6% after adjusting for the one additional workday in the first quarter. We believe our sales and marketing initiatives are continuing to result in market share gains as historically, sequential sales in the first quarter are down approximately 2% to 5%. Our guidance on gross margin said it had been expected to be at or above 20%. Our first quarter gross margin of 19.9% was negatively impacted by mix, driven by stronger project sales. We continue to work on gross margin expansion efforts and believe that we have additional upside of 200 basis points over time. SG&A expenses for the quarter were $228 million or 14.2% of sales compared to $214 million or 14.9% of sales in the prior year quarter and $228 million in the fourth quarter of 2011. Approximately $5 million of the year-over-year SG&A increase was related to our RECO, Brew supply and RS Electronics acquired businesses. We continue to tightly manage SG&A expenses, maintaining our overall cost discipline while investing in our growth engines in productivity initiatives. Our operating margin guidance said we expected to be at or above 5%. Operating profit for the first quarter at 5.2% of sales was $83.5 million, up 29% or 70 basis points over last year’s operating profit of $64.7 million and 4.5% of sales. Our target for 2012 is to increase operating margin by at least 40 to 60 basis points through a combination of gross margin expansion and fixed cost leverage. Operating profit pull through measured by year-over-year incremental operating profit dollars divided by year-over-year incremental gross profit dollars is a financial metric WESCO uses to gauge the effectiveness of our operating disciplines. Our objective is to achieve an operating profit pull through of 50% or greater. Our first quarter operating profit pull through rate was approximately 56%. In the first quarter, our capital expenditures were $4.5 million. We believe our investments in people, technology and facilities are paying off and we expect to continue these internal investments to support the growth of both our sales and profitability. Interest expense reported for the first quarter was $9 million versus the $12.6 million for the prior year. We favorably resolved a long standing tax appeal with the IRS for the period of 2000 to 2006. As a result of this tax appeal resolution, there was a reduction in non-cash interest expense of $3.2 million in the quarter. Our tax rate guidance said we’d approximately 30% to 32%. Our first quarter’s effective income tax rate was 29% compared to the 28.4% rate in the first quarter of 2011. The quarter’s tax rate was favorably impacted by $2 million of discrete items. Net income for the fourth quarter increased 42% to $52.9 million and resulted in an EPS of $1.03 per share on $51.3 million fully diluted shares outstanding. Earnings per share net of the one-time non- cash interest expense adjustment were $0.99 for the quarter. This is our sixth consecutive quarter of EPS growth of over 35% on a year-over-year basis. This compares to net income of $37.3 million and EPS of $0.74 on $50.4 million fully diluted shares outstanding in the first quarter of 2011. Free cash flow for the fourth quarter was $53.8 million compared to $26.2 million in last year’s first quarter. We continue to target free cash flow conversion of at least 80% of net income during 2012. Our average all-in-cash borrowing costs for the first quarter including commitment fees was approximately 4.7%. Liquidity, defined as invested cash plus committed borrowing capacity was $572 million at the end of the first quarter compared to $354 million at the end of last year’s first quarter. Net working capital days for the first quarter sequentially improved approximately 10% and were consistent with last year’s first quarter. Our financial leverage ratio year end was 2.1 times total par value debt to EBITDA which compares favorably to last year’s first quarter ratio of 3.4 times. This quarter’s leverage is the second lowest reported leverage ratio in our history as a public company. We are close to the low end of our target of leverage range of 2 to 3.5 times per debt to EBITDA. Moving to our outlook for the second quarter. We expect second quarter total sales growth of approximately 10% to 12% above last year’s second quarter. This sales outlook includes acquisition sales of approximately 2% and assumes the same sequential pricing impact and foreign exchange rates. We believe second quarter gross margin should reflect the positive impact of our margin initiatives resulting in gross margins at or above 20%. We expect operating margin to be approximately 6% and maintain an operating profit pull through in the range of 50%. The second quarter’s effective tax rate is expected to be in the range of 30% to 32% for the quarter. We continue to believe the pace of economic recovery will be slow and therefore we are well positioned to take share and outpace economic activity in the slow growth environment. Last quarter we stated our full year outlook for sales growth was 7% to 11%, with at least 2 points of growth coming from acquisitions. Based on a stronger start to the year and our current momentum, we are raising our fully year sales guidance to 8% to 12% growth. Emily, I would now like to open up the conference call for questions.
Operator: Steve, thank you. We will now begin the question-and-answer session. (Operator instructions) At this time we will pause momentarily to assemble our roster. And our first question will come from Deane Dray, of Citigroup. Please go ahead.
Deane Dray - Citigroup : Thank you. Good morning everyone. And a special good morning Steve, welcome as interim CFO. Our first question is the significant of hitting or coming close to a 6% operating margin? I know long term you are look for an 8% goal. But you said before you got to hit 6% before you get to 8%. So just talk us through where the significance of hitting 6% in the second quarter?
Steve Van Oss : I think 6% Deane -- and good morning by the way, and I know, Steve thanks you for that. That warm welcome back. It was really an important mark for us to get back to, and for the entire team and I’d even say for me personally, because I joined the company in 2004 and the best we’d ever done up to that point being a public company for five years was 3.X% EBIT. And we had set a target to get the 6% operating margin which we did as a team. And then we had the deal with the challenge that we’ve been managing our way through. And hopefully on the other side of that, we see ourselves on the other side of that now there’s global recession. And we have margin contraction through that. So getting back to the 6%, it was really an important mark for us as a team. And -- so we’ve got our sight set on it and the good news is we’ve got very good momentum that we built up over the last couple of years executing the strategy and we are going to continue to plug along. We said once we get back to 6%, we’ve got reset our sight to get to 8% over time and that’s something we’ll be talking about at our investor day in August of this year. 
Deane Dray - Citigroup : And then on end markets. Can you comment on utility sales, really strong. And then follow up there also with some color regarding expectations on reacceleration on construction and Datacom picking up in the second half? 
Steve Van Oss : So, we are very pleased with the results that we are posting in utility and energy demand was up last year after being down in 2009 and 2010. Similar to what we’ve in those – in really, those last three quarters in a row, am particularly feel good about our momentum, we’ve got three successive quarter or three consecutive quarters of double digits sales growth. What’s notable about the first quarter as what was notable about the fourth quarter for utility, we have three major end market customer categories inside utility, investor owned utilities, public power and utility contractors. So as was the case for Q4 and Q1 as well, all three grew double-digit. So I think that speaks to a nice balance. From our perspective, I’ll tell you that the recovery is transmission led, but it is including generation for new generation and environmental upgrade and some good spending. We are currently supporting multiple transmission projects and communication infrastructure projects with materials supply and logistics services. So we thought utility was a challenge for us as we came through this recovery and the utilities reacted pretty aggressively. We were hopeful we could return the growth last year and it’s really performing nicely for us. So we feel good about that. Maybe one fine point on utility that to add is, we are seeing the benefit fundamentally increasing our scope of supply and services with our current customers, but we’ve also had some nice new winds and we typically don’t talk about that but there’s one I would like to highlight that we had in later parts of 2011 and it’s win a Tennessee Valley Authority. I think it is just reflective of an integrated supply model and we are implementing that across TVA's entire fleet of over 50 power generation facilities. So I know I went probably a little bit longer on utility and probably be a lot of questions around it. It’s not that we are seeing the end market where we play in the power chain really driving our growth, as much as we feel very good about our execution. And it was encouraging too to see how those results – they came out today as well and had strong results. So that’s encouraging I think for all of us that serve utility. In terms of construction, our view is unchanged. We think the market are in a bottoming process. There was somewhat stabilized at a lower level but the reality is a broad based expansion has not yet began. Actually one could take a look at Q1 and say it’s actually a little more concerning because non- residential starts were down double-digits in 2009 and ’10, they were down mid-single digits in 2011, low to mid-single digits. They are down double-digits in 2012. That data came out earlier this week in terms of stats and it’s all the verticals inside of non-residential. So I will tell you the underlying fundamentals are still weak with all that said. Our performance has been extraordinarily strong again what I would call headwinds and we had thought headwinds would start to moderate at this point in Q1, they have not. We posted eight sequential quarters or eight consecutive quarters of sales growth in constructions against markets that have been down. We grew our backlog again, after growing it the last two years in 2010 and ’11, and I will tell you that the results were balanced for us both in the US and Canada and in the US we had good balanced growth across the regions and not really any pockets of softness. So, I feel really good as we have felt good I think over the last seven day quarters about our construction performance. It is our view that the underlying fundamentals will improve as we move into the later part of the year and in the next. If they do, if they don’t I think we are still executing our strategy and we are showing the ability I think to deliver against that. And if your last question was Datacom. And let me hit that kind of head on. When we had our last earnings call, we told you we’d start off soft in January, the soft has continued in February and March. It was down mid-single digits in the first quarter. It did grow sequentially though versus Q4 low single-digits. It was fundamentally driven for us. So I am not going to say this will be true for everyone else in the market, it remains to be seen. But it was fundamentally driven for us to government. The Datacom sales, the government customers really drove our declines. Overall, our government sales were up 9% which is very nice results, but the Datacom piece is where we are experiencing the softness. At the recent international security conference in Las Vegas in late March and from a variety of other sources, I think people are really kind of confirm weaker demand than expected for Datacom in the first quarter. So a positive indication for us is that we grew our backlog and our backlog is up over 20% in the first quarter for Datacom versus prior year and versus end of year. So that’s an encouraging sign and the final point I’d make is that CBC would have over a year now are performing very well and grew mid-single digits in the quarter. So we are pleased with those results. 
Deane Dray - Citigroup : Great. Thank you and congratulations on that TVA win. That’s a huge customer to bring on board. 
Steve Van Oss : Thank you Dean.
Operator: Our next question comes from David Manthey, of Robert W. Baird. Please go ahead.
David Manthey - Robert W. Baird: Hi guys, good morning. First off for Steve. When you mention that the pricing impact you expect in the second quarter to be similar sequentially. Do you mean that rate year-over-year or if the overall pricing environment remains the same, could we actually see that diminish a little bit against more difficult comparisons?
Steve Van Oss : What I was talking about year-over-year we are seeing normal pricing increases coming out supply base different from what we saw previously – previous 18 months when we get more multiple price increases and this is just despite a backdrop where copper impact drop, copper was actually had a negative impact of about $10 million or so or 1.5 points in the first quarter. So put that in the backdrop of an overall 1% to 1.5% up. So we think it’s going to be more of a normal pricing environment going forward.
David Manthey - Robert W. Baird: Okay. And then second question. In terms of the gap between distributors that have advanced service and geographic capabilities and those that don’t. Am wondering if you can give us any tangible evidence around your success in global accounts and integrated supply? And then just as somewhat related maybe not. But if you could just give us what you are seeing in terms of the shift from stock to special order to drop ship business since you started the cycle. 
John Engel: Dave, I will kind of touch the first one. One of our eight growth engines is global accounts and integrated supply and again that is – we call it a variation of a business which serves multi-site customers. We had very strong results in Q1 to address your question directly. We were up over 15%. And that’s organic with those business models into the multi-site customer site. So I think we’ll continue and see very nice results with those capabilities. Steve, you want to talk about …
Steve Van Oss : Yeah. The effective debt drill on that – we saw higher mix in the first quarter on the project’s side that we were anticipated. Net, was really an at or above on the 20%. So with that we’ve been slightly above it. And to tag on to what John said, what we are really seeing in particularly in our global account customers is a health balance sheet and a resurrection of project activity and we think if you look at that, it’s a differentiator between the locally dependent distributors and what we are able to do across wide geographies with these large customers. They are the ones that are spending the capital and I think that’s also helping our above market growth rates in the non-residential constructions. So both the initiatives in our global accounts and our position I think with a large company, with a strong balance on large projects is helping out and it is driving a little bit more of mix towards project business for us.
John Engel: Because the only other thing I’d say is just to tag on maybe another fine point on industrial. They’d be trends that we’ve seen where customers outsourcing and I'll say, and Steve touched upon it but I specifically spending capital now versus adding headcount. We see these trends continuing, they clearly continued based on our customer relationships we have with our customers and industrial in Q1 and expectations are much higher on behalf of our customers, not just for supply chain process improvements in saving, but just overall integrity of the supply chain and that bodes well for us. So I think that’s some of the underlying drivers that are enabling us to really work and get traction with our business models. 
Operator: And our next question will come from Ajay Kejriwal from FBR Capital Markets. Please go ahead.
Ajay Kejriwal - FBR Capital Markets: Hi, good morning. Just first on the gross margin goal. Over time you expect it to improve. But maybe remind us what’s the biggest opportunity near term and then what would be kind of the – towards the bucket you’ve been looking to improve on over the next 12 to 18 months?
Steve Van Oss : Its numerous items. Thank the good news on that on that there are a lot of areas that we attack in that arena. So it includes pricing mechanisms and how you stratify various customers, a big part of this is we are working with the people that’s on customer selection, doing business with those type of customers that appreciate the value that WESCO brings to the table, both in terms of scope of product and scope of geographic reach. And then in the area of procurement, making sure that we are appropriately leveraging our spend across the regions. And we’ve been doing a fair amount of work within our procurement organization to better position the company to do that. And then we are always working and I think it’s important that you look at the size of our company as we continue to grow, the double-digit organic growth and adding the acquisitions onto that improve our position with our supplier and so it allows us to take advantage of the various rebate programs that they have. So its multitude of things and I would say that they all take time and that you would see that starting to ramp up and it’s not one quarter but its multiple quarter impact. 
Ajay Kejriwal - FBR Capital Markets: Got it. thank you. And then on Datacom, I know you say backlog improve nicely. So it sounds like you expect things to pick up. But maybe if you can give us a little bit of a broader picture, how you think about this market? We’ve seen kind of a little bit choppiness last couple of quarters. Is this kind of pause and then you expect growth to resume or is there something more going on with regards to how customers are thinking on how they spend on new projects and upgrades?
Steve Van Oss : I will tell you we are still – in terms of the end market and the applications, we are still bullish. Very bullish and when we look at our play, it’s broader than Data communication. Communications and securities is one of our eight growth engines and communication is composed of both Datacom and broadband communications. So there has been I think depending on what sources you want to look at or site some choppiness in the data center driven parts of the markets over the last couple of quarters. The industry analyst that specialize in Datacom are still predicting growth rate in the high single-digit. It has come down a bit and I am talking about a tag or high single-digit over the next couple of years. So it’s come down a little bit but – and then there’s key opportunity like – which is not insignificant and I think it was a few calls ago that Deane sighted what was in the paper that week about the Federal Data Center consolidation. It’s going to close 1,200 Data Centers by 2015, and they are going to be replaced by larger energy efficient Data Centers, Cloud computing etcetera. That’s going to provide significant opportunities for growth. And fundamentally when the construction markets begin a meaningful on the non-resident side, structures cabling footage sales could increase based upon construction projects. So I think we are still very bullish with the long term. Our growth engine is communications and its experience. I might mention that our security products and capabilities has never broken that out, we are going to put a little more spot light on that in this year’s investors day in August. It clearly is an area where some competitors have delivered some very strong results over the last couple of years. But I’ll tell you the security market, the IP secure and physical security markets are still growing double-digits and our sales were up double-digits in the first quarter that buried within our communications growth engines. So hopefully I have given you a little bit of color. Your thought of view that we’d see some improvement in the later part of this year, second half of this that is. And I’ll tell you we still have a little bit of residual learning curve issues on our system conversions. So as we look at the quarter, it’s clear that what drove our performance was government customers for Datacom. We’ve had some – actually some other good results inside that. I think fundamentally it was down driven by that and it’s both a combination of market and a little bit of our learning curve residual issues.
Ajay Kejriwal - FBR Capital Markets : Yes, that’s very helpful. Maybe one last one for me just on that, April sales, if I got that right is at mid single digit growth. So maybe any color on that, what you saw? Is there any impact from holidays and then if you can tie that with your second quarter sales growth overall.
John J. Engel : Yeah, I’ll comment. Steve may want to add onto it. As we’ve done – what has been our custom when we do our earnings call, we don’t put out monthly sales results. But we clearly give you the view of what we’ve seen so far in the current month. We’re mid single digits right now in April and yes the Easter holiday occurred earlier this year than last. But we’re not adjusting for that at this point. We’ve got a view of the second quarter. We reflected that in our guidance and I think it’s a reflection of and an indication of the execution that we’ve been delivering for one or two or three quarters, really 2010 through 2011 and the first quarter of this year. Steve, I don’t know if you want to add anything.
Stephen Van Oss: I think you covered it real well regarding the holidays. I’d just say we have a confidence level in our forecast which kind of goes beyond this holiday season. So, nothing else to add.
Ajay Kejriwal - FBR Capital Markets : Excellent. Thank you very much.
Operator: Our next question comes from Sam Darkatsh of Raymond James. Please go ahead.
Sam Darkatsh – Raymond James & Associates: Morning, John, Steve. How are you?
John J. Engel : Morning.
Sam Darkatsh – Raymond James & Associates: Three quick questions if I might. First off, could you give us, John, an update on the CFO search with respect to the timing or the type of candidate that we might be able to expect? I know you’re looking externally.
John J. Engel : Yes. We have – I won’t give you the number of candidates who have been in to Pittsburgh so far. But suffice to say it’s more than half a dozen. So I’ll give you – it’s interesting from this perspective. I think the market is yielding some excellent talent, number one. Number two, I think that our increased transparency as a company over the last few years and the fact that if you look at our investor day materials, our strategy that’s out there and then the results in our execution, I think it’s boding well for us as we talk to candidates and discuss not only what they’re bringing to the table clearly, because we have our spec and we’re going to make sure we meet our spec, but also the value proposition, the value creation opportunity. So with that said, we’re grinding through the process. We have gotten exposed to some nice talent, but we’re going to be very thoughtful with it and I think what’s good from my perspective and I know from Steve we’ve got kind of the bend strength. We continue to run the company well as we conduct this search. So I’m not going to put a timeframe on it, but as soon as we’ve landed a candidate and we’ve gotten them through our board as well we’ll be public with that, Sam.
Sam Darkatsh – Raymond James & Associates: Next question. Steve, you mentioned the project mix was higher this quarter. Reminds me of a question I used to ask you back in the day which was you’re out of stock versus your direct ship mix. What is that overall now and if you could remind us as to where it typically is in a cycle and what that might tell us about where we are in the overall cycle.
Stephen Van Oss: It’s interesting through the cycle it doesn’t change dramatically. But as you know a couple of points can have an impact on our gross margin percent. So it was up a couple of points. To put it in perspective, our project business, what we call direct shipment generally ranges in that 40% to 45% range. The stock business range is in a similar number and then the remainder is what we call special order sale which it has characteristics of both. It can be a project business that needs to be brought into our company and staged, therefore it becomes special order because it runs through our warehouse or it can be a normal, what would be considered a normal day to day stock item, but for a customer that we don’t routinely stock. So they tend to – the project business tends to jump around three or four points over a year’s period of time. Last year weather wise I think was a little rougher. We had a little milder start. That may have been part of the win. But I think part of the Delta coming into the first quarter this year with the project being higher. I think the real thing driving it is really more of us winning better with our big industrial global account customers.
John J. Engel : One thing I’d like to add, we’re talking about 10 basis points off of our 20 plus where we expected we were driving to get to deliver for the first quarter. It’s absolutely mix. It’s a little bit on shipment tight mix which is where your question was, Sam. The other mix impact is business mix and with a very strong utility sales results, 20% plus and the very strong and I mentioned earlier as a response to a question, integrated supply in global accounts and they each were above 15%. But integrated supply in particular, that business mix drives it a bit. I think what’s real interesting is again that’s gross margin. We’ve always said the incrementals were excellent. We delivered very strong EBITDA expansion. We had pull through above 55% on a reported basis and if you were to adjust for the acquisitions it’s north of 60%. And so it just shows again the power, the operating leverage of the model.
Sam Darkatsh – Raymond James & Associates: Last question if I might. If I missed this I apologize. Could you talk about the international markets a little bit? Canada, Latin America, not only what you’re seeing but where are you in the expansion of that growth initiative companywide?
Sam Darkatsh – Raymond James & Associates: Yeah, very good results in Q1. Double digit growth. We feel really good about the traction we’re getting in our international markets. I think we spotlighted that more than we ever had previously in last year’s investor day. Les Kebler went through that and we’re increasingly getting requests from customers to provide solutions to their operations where we’re already serving them. We’re serving them well in the US, Canada, Mexico for that matter and other locations. And it’s not just global accounts, it’s integrated supply as well. So I think it’s – we’ve got a terrific opportunity pipeline. I will tell you we’re still very much throttling and governing that to make sure that we’re growing double digits there and it’s nice and it’s profitable, but we want to make sure we manage that growth well and the top priority as I’ve said for some time now remains in our front and back yard which are these large fragmented markets in US, Canada and Mexico.
Sam Darkatsh – Raymond James & Associates: And when you say double digits, John, you’re talking about excluding the acquisition of some of that business?
John J. Engel : Yeah.
Sam Darkatsh – Raymond James & Associates: Okay. Thank you.
Operator: Our next question comes from Anthony Kure of KeyBanc. Please go ahead.
Anthony Kure – KeyBanc Capital Markets: Good morning guys. Thanks for taking my questions. Just wanted to touch on the 2012 outlook. You mentioned the change to the positive on the sales side. But wondering if you could also maybe put that in context on the gross margin or maybe operating margin target if there is any update there. 
John J. Engel : I think if you look at what we’ve done historically we provide an outlook at our investor day and then when we went through our Q4 full year 2011 earnings call we gave an update of the outlook for the year. That was what we saw for the year and we gave an outlook for Q1 which had a little higher sales growth range for the quarter. We’ve come in now and we’re above that range. We’ve given a range for Q2 that’s a bit up and as Steve mentioned in his opening comments, we’ve taken the sales range up just a bit for the year. But we’ve not communicated how that blows through. I can tell you this, the way to think about it would be we continue to maintain our 50% pull through as our target and drive for that and as has been our custom the last couple of years, we’ll give a more full some update after we get through Q2 in our investor day in the early part of Q3. I think what’s going to be important really is to see how the second and third quarter develop for us. That’s going to determine the year clearly. We feel really good about our execution and results at the start and again we grew our backlog. But non-resi being down double digits in Q1 is a bit surprising to us quite frankly after only being down single digits last year. So we would have expected single digit declines and then beginning to move towards flat. But that has not started yet this year.
Anthony Kure – KeyBanc Capital Markets: Okay, thank you for that clarity. And then just a little bit more on pricing. It sounds like another large distributor, maybe not a direct peer for you guys, but a large distributor raising prices in February. Just wondering, with your lower price contribution for the first quarter and maybe the second, any expectation or insight as to your pricing trends and the ability or latitude to raise prices here going forward?
John J. Engel : I would say past is prologue in that arena for the most part. Pricing particularly in a lot of the categories we have and when you get into any area with commodities almost goes on a weekly basis. Very competitive market out there and we’ve got programs in place to drive those, any cost increases through and we’re looking to expand that as well. But I would say it’d be normal price tap environment. More stable, more normal for 2012 than what we’ve seen in the past.
Anthony Kure – KeyBanc Capital Markets: Okay. And then last question just on interest expense. Obviously a little bit lower in the first quarter due to the discrete item or due to that one time item. But going forward, what will be a good number to model for the remainder more along the lines of the normalized interest expense from 2Q and beyond? Steve If you’re looking at – take the first quarter, normalize that for the adjustment and then work cash flow into it down. So it would be a minor, slow declines as the year progresses.
Anthony Kure – KeyBanc Capital Markets: Okay. Thanks so much.
Operator: Our next question comes from Steve Tusa. Please go ahead.
Stephen Tusa – JP Morgan Chase & Co: Hey, good morning. 
John J. Engel : Morning Steve.
Stephen Tusa – JP Morgan Chase & Co: Can you just maybe talk about what you’re seeing the automation channel in the US?
John J. Engel : Solid results and I think the only thing I’d like to spike out, as we move through the quarter in Q1 and I think you’re referring to industrial automation and control.
Stephen Tusa – JP Morgan Chase & Co: Yeah.
John J. Engel : So my comments are with respect to that, Steve. As we move through the quarter and then moved into Q2, I would say momentum building and strengthening.
Stephen Tusa – JP Morgan Chase & Co: Okay. Great. Thanks. 
Operator: Our next question comes from Matt Duncan of Stephens & Company. Please go ahead.
Matt Duncan – Stephens Inc.: Good morning guys. Congrats on a good quarter.
John J. Engel : Thank you.
Matt Duncan – Stephens Inc.: First question I’ve got, going back to the gross margin outlook, you talked about the 200 basis points of improvements you think you can get there. Can you detail a bit more about specifically what that’s coming from and then secondly if you could maybe put some numbers around how quickly you think you can ramp it from the 20% area up to that 22% goal.
John J. Engel : Sure. If you go back to the last two investor days that we did, we have a little bit of a breakout on and if you think about – and it hasn’t changed. It’s a pretty specific formula and you can look at those areas that relate to two components of that. So we’re talking about a gross margin expansion. The basis of that starts at building margin which is what we acquire a product for versus what we sell it for. So we’ve got initiatives around that I mentioned earlier. So working on the cost side equation. I also mentioned what we’re looking at, customer selection and the ability to categorize size and nature of customer, try to do some on the price side. There’s a series of items in between what’s known as billing margin and gross margin. We call it our spread and those would be a supply of volume, rebates, transportation, cash discounts and the like and we’ve got initiative based at that. So it will be a blend of the balance between kind of the product side of it and then the program side of it.
Matt Duncan – Stephens Inc.: Okay, thanks. And then on the leverage, you got that down to 2.1 times now. You noted that’s the second lowest in your history as a public company. Can you talk a bit about what the plans are for the balance sheet? I know you guys are actively looking at acquisitions. If you don’t close something soon is there any thought around maybe returning some cash to shareholders or would you rather keep that in the conference for acquisitions?
John J. Engel : We got this question. Increasingly we’ve been getting this question over the last two quarters. We have a very strong and robust acquisition pipeline. It’s a key part of our value creation strategy. It’s great that we’re down near the low end of our range, but we’re down to near the low end of our range because of the operational execution and show the operating leverage of our model. It gives us even greater flexibility to continue to work the acquisitions and we’ve done five since June of 2010 that we feel great about and as we mentioned we put dedicated resources in place and we’re working our way at that. So we’ve gotten this question increasingly and what we’ve said is we’d have to be below two, well below two and be there for a sustained period of time and not have acquisition opportunities before we would seriously consider that.
Matt Duncan – Stephens Inc.: John, are there any larger acquisitions in that funnel right now or they’re all more like the Bruce type size that you’ve been making recently?
John J. Engel : There’s a wide range and look, we’re always looking at midsize and larger size too. But that doesn’t mean anything would be imminent if ever. So it’s a very robust acquisition pipeline and I feel and Steve may want to comment, I feel better than I ever have about our ability to strategically manage that pipeline and proactively work the targets. What’s really ideal for us is to work the opportunities and to acquire these in a non marketed transaction and I think we have a pretty darn good track record, particularly since we’ve put these additional resources in place since mid 2010 of doing that. 
Stephen Van Oss: The only thing I would add to John’s comment, if you take a look at the progress we’ve made with our big models, our global account, our integrated supply and then the operational excellence we’ve been able to do in our operations, it’s created more flexibility for us to look more broadly and strategically at product channels and like to add to the toolkit that we take to our large customers and they’re really looking to continue to consolidate their spends. And a finer point on our cash flow direction, acquisitions is certainly a target, but our first use of it is to funnel into our ability to grow our company organically and to drive our core businesses forward and then acquisitions and we’re in good shape at this point in time and I don’t see change in that formula in the near term.
Matt Duncan – Stephens Inc.: Okay. Thanks guys. 
Operator: Our next question comes from Steven Fisher of UBS. Please go ahead.
Steven Fisher – UBS: Hi. Good morning. One follow up on the acquisition discussion. Is there anything changing in the gestation period of acquisitions, say from the time you identify a target to the point of agreement?
John J. Engel : No. There is wide variation. So the classic answer to that is it depends. It depended previously, it still depend – it really does depend on that particular target, what the government’s issues are. So I would say if you look at it and aggregate it and analyze it over time there’s no noticeable changes. 
Stephen Van Oss: It ranges from multiple months to multiple years.
Steven Fisher – UBS: Okay. So we shouldn’t interpret the reduction in leverage instead of acquisitions as being anything more challenging by getting deals done?
Stephen Van Oss: No.
John J. Engel : Absolutely not. I think what we’ve done is we’ve outperformed our core operational expectations and we had excellent cash flow in the first quarter where exceed net income. So it’s the operating leverage. It’s the cash generation. It’s been above our own expectations that have brought that down quickly. So that’s – we’re doing these five acquisitions, $460 million of annualized sales since June of 2010.
Steven Fisher – UBS: Okay. And then just to clarify, are you reflecting an assumption of slower growth in industrial markets in your sales outlook for the rest of the year?
John J. Engel : No. But that doesn’t mean that we don’t give guidance by segment. A customer category cluster segment industry utility. But fundamentally the industrial markets that we’ve seen some slowing in terms of activities in as we move through 2011 into early 2012 in terms of the end markets. But they’re still growing. So our outlook is basically more of the same. They’re still going to grow at this moderate rate. I’m talking about end markets and applications. Our focus is how to increase our scope of supply, capture new customers, leverage our global accounts, integrate supply business model as one – less good strategy is selling our whole portfolio. That remains intact and we think that’s the driver behind our performance versus the market.
Steven Fisher – UBS: Okay. Thank you.
Operator: The next question comes from Ryan Merkel of William Blair. Please go ahead.
Ryan Merkel – William Blair & Company: Thanks. Just one question for me. Just wanted to get your thoughts on the US manufacturing renaissance theme in and low in that gas story. That’s something you’re seeing and can benefit from?
John J. Engel : Yes and yes. I think we’re very much looking – first of all I think it’s terrific for this country. But put that aside. For us as a business team it represents excellent opportunities for us and I’d put this in the category of it’s an outstanding asset. It’s going to be operationalized and monetized in the US. It’s like Tasands [ph] is to our Canadian business is what it is to our US business. Absolutely outstanding growth prospects over the mid to long term.
Ryan Merkel – William Blair & Company: Right. Thanks. All I had.
Operator: The next question comes from Christopher Glynn of Oppenheimer. Please go ahead.
Christopher – Glynn Oppenheimer & Co.: Thanks. Steve, just in your comments on the sequentially flat organic better than normal seasonality for some negative trend there. Attributed that to share gain. Just wondering if you continue to outperform normal seasonality is that your expectation? Or why wouldn’t – 1Q may have been some just inversion of normal seasonality.
Stephen Van Oss: I’m not exactly sure what you mean by inversion of normal seasonality. But I believe there was part – there certainly was share gain. If you look at our global accounts business and the pipeline of activity there, it continued to grow off of a historic number in the fourth quarter. That’s continued to move forward. I think what we’re seeing and John said it a couple of different times, it’s successful execution of our growth engines. It’s a business model that we think is playing better and better in an environment where people are worried about the supply chain and we would expect to see that to continue.
John J. Engel : The comment I would make and we’re going to need to continue to strengthen quarters together and see what those results are to have enough data points to support what I’m going to say. But you’ll recall that – think about Q3 into Q4 of the last two years where we had a certain expectation and we really outperformed versus what had been historical seasonality. I think what we’re beginning to really see is the nature of the positive aspects of how this new portfolio performs and our portfolio has a different characteristics to it in terms of end markets. Industrial is clearly our largest end market and construction is not anywhere near the size it was and utility is now growing and then through the product category lens. You look at our product category and we lay that out for all of you. But I think we’re beginning to really see – now it’s going to take again more quarters and continue to do this to see it. But I think we’re seeing the indications of that.
Christopher – Glynn Oppenheimer & Co.: Okay. And then on the linking up of the electrical product package to the Datacom side and those types of projects, is there a lot of heavy lifting to do to link those or are you all set up there?
John J. Engel : We’re set up.
Christopher – Glynn Oppenheimer & Co.: Okay, great. Thank you.
Stephen A. Van Oss: That’s execution mode.
Operator: Our next question comes from Adam Uhlman of Cleveland Research. Please go ahead.
Adam Uhlman - Cleveland Research Company: Hi guys. Good morning.
Stephen A. Van Oss: Morning.
Adam Uhlman - Cleveland Research Company: I was hoping to just get a little bit more clarity on the utility numbers and how we should think about that business as the year progresses. There’s a lot of data points that’s been thrown out there. The transmission projects that are helping the sales grow now, but I assume that those will start to tail off as the year progresses. And you’re indicating the distribution industry is maybe up low to mid single digits for the year and your supply of Hubble is 54% to 60% growth for the year. So can you just help me understand like how much of the growth now is coming through the transmission activity, how much from these new account wins that we would be seeing.
John J. Engel : It’s very good question. Now our view – again when we look at utility we look at the entire power chain. Generation through transmission through a substation through the distribution grid and we’re a more distribution grid biased versus transmission and that’s just historically how the industry was structured. But also generation represents an outstanding opportunity for us. Either MRO supplies that keep a generation network running or new construction retrofits renovations upgrade. So our view is that the recovery in the utility market is clearly transmission led. But we don’t benefit very strongly in that. With that said, we are increasingly participating in some transmission projects. But it is a fourth or fifth driver out of five in terms of what’s driving our results. What’s driving our results are increasing scope of supply and also new customer wins. Both on the ends of that power chain. Generation and the TVA example I mentioned earlier. That’s a generation delivery supply application for MRO and in the distribution grid. Our view on the distribution grid end market is it is growing low single digits, hopefully nudging up to mid single digits as we move through the year. So we’re not getting the benefit of strong market growth. Residential construction, even though it’s growing a bit, is still at an anemic level in terms of new housing stats. The way to think about that is what’s new meter growth look like? It’s very nominal. So we’re very pleased with our utility results. We expected to perform well versus that market backdrop. I’ll tell you, we’re doing a lot better than we thought. The growth north of 20% in Q4 and then Q1 now, that’s better than we thought we’d do.
Adam Uhlman - Cleveland Research Company: Yeah, that’s very strong. And then secondly, somewhat unrelated, but I guess if you look at the cost growth and strip out the acquisitions, expenses have grown maybe 4% again with 8% organic growth rate. Wondering if that ratio is sustainable as we go forward.
John J. Engel : Again I would use as our optimizing variable that we target the 50% pull through. That’s kind of our all in optimizing metric and we’re very encouraged that as we’ve made incremental investments and sales resources that Steve alluded to and some new locations. We increased our sales force 5% in Q1. We had not mentioned that until now. So we continue to invest in our sales force, new locations, expanding the product categories, marketing resources. As we do that, we want to make sure we deliver that pull through and we’re really encouraged. We have strung many, many quarters together now where we’ve soundly delivered against the 50%. We’ve been above it.
Adam Uhlman - Cleveland Research Company: Great job. Thanks very much.
Operator: Our next question comes from Matthew McCall of BB&T Capital Markets. Please go ahead.
Jack Stimac - BB&T Capital Markets: Thanks for fitting me in guys. This is actually Jack Stimac filling in for Matt. I had one quick follow up on Datacom. I know you’ve talked about that quite a bit. But with the backlog growth that you’re seeing, is that a recovery from government spending or is that coming from somewhere else?
John J. Engel : It’s broad based and it’s not government driven. Your question is on backlog. Backlog composition, right? I want to make sure I heard it.
Jack Stimac - BB&T Capital Markets: Right. I was just wondering if – it sounded like you got some good growth there. If that was kind of a snapback from the government of it’s…
John J. Engel : No, it’s broad based. I would not say that’s government driven.
Jack Stimac - BB&T Capital Markets: Okay and then if I could ask one more quick one. Maybe if you could just talk about what you’re seeing from your lighting business. We’ve heard that LEDs are either at or nearing the margin parity with traditional lighting. Maybe if you could just give us a little color on that. Thanks.
John J. Engel : Yeah. We grew our lighting growth engine high single digits. I’ll give you the number, 8% essentially in first quarter. It is one of our eight growth engines. We actually feel good about those results. Again that’s without any acquisition solid core growth and we’re increasingly seeing lighting, let me say solid state LED opportunities both indoor and outdoor. So we actually we’re very fortunate in that we’ve got a terrific set of global leading suppliers that we partner with and I’ll mention it. It’s a Phillips, it’s a Cooper, it’s a Hubble, it’s an Acuity and others. Just terrific world class companies we get the chance to partner with and bring complete lighting solutions to the marketplace and it’s not just indoor again. The LED outdoor we’re also seeing some nice application. So I think if you talk to any of the lighting manufacturers, what they would tell you is that the rate of LED introductions versus what they had expected is exceeding their expectations in terms of the mix.
Jack Stimac - BB&T Capital Markets: Okay, great. Thank you.
Operator: Our next question comes from Hamzah Mazari of Credit Suisse. Please go ahead.
Chris Parkinson – Credit Suisse: Morning guys. This is actually Chris Parkinson on behalf of Hamza. Most of my questions have been answered. I just had a quick follow up longer term. With regards to long term gross margin guidance, can you just add a little more color there and parse out some of the moving variables? I imagine it’s a confluence of factors, but where do you see the greatest areas for upside so to speak?
John J. Engel : I think I’d just point you again back to what Steve did in our last investor day in August of last year when we exploded out the pricing related initiatives and levers, the cost sides, supplier management related issues and levers and a series of other factors. So I think we’re working all those in combination. We had margin improvement pilots going on across the company. We don’t typically get into that kind of depth in our quarterly earnings call. But it’s something that we plan on. We went through that in detail last year. It’s something we’re going to explode out in this year again give an update and go in more detail, feel the onion back even deeper. So it’s very comprehensive. We work on that aggressively. But we’ve got a large diversity to our mix, whether it’s product category, customer application suppliers and so there’s an awful lot of – there’s a number of initiatives we’re working. So thanks a lot for that question. I think that’s it for today. We may have gone just a minute or two over. I’d like to close by thanking you for your time and your continued support. We’re encouraged with our start in 2012 and we’ve got good positive momentum that we’ve carried out the last two years into this year and we feel good about that. We’re continuing to make our investments in our business. We think we’ve got a strategy and operating model that’s working and we’re focused on producing improved shareholder returns. Thank you very much. Have a great day.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.